Executives: David Nelson - Vice President of Investor Relations and Treasurer Francisco D'Souza - Chief Executive Officer and Director Gordon J. Coburn - President Karen McLoughlin - Chief Financial Officer and Principal Accounting Officer
Analysts: Darrin D. Peller - Barclays Capital, Research Division Peter Christiansen - UBS Investment Bank, Research Division Edward S. Caso - Wells Fargo Securities, LLC, Research Division Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division Keith F. Bachman - BMO Capital Markets U.S. Bryan Keane - Deutsche Bank AG, Research Division Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division Arvind A. Ramnani - BNP Paribas, Research Division Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division Moshe Katri - Cowen and Company, LLC, Research Division Sara Gubins - BofA Merrill Lynch, Research Division Jason Kupferberg - Jefferies & Company, Inc., Research Division Julio C. Quinteros - Goldman Sachs Group Inc., Research Division
Operator: Ladies and gentlemen, welcome to the Cognizant Technology Solutions First Quarter 2013 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to David Nelson, Vice President, Investor Relations and Treasurer at Cognizant. Please go ahead, sir.
David Nelson: Thank you, operator, and good morning, everyone. By now you should have received a copy of the earnings release with the company's first quarter 2013 results. If you have not, a copy is available on our website, cognizant.com. The speakers we have on today's call are Francisco D'Souza, Chief Executive Officer; Gordon Coburn, President; and Karen McLoughlin, Chief Financial Officer. Before we begin, I would like to remind you that some of the comments made on today's call and some of the responses to your questions may contain forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. I would now like to turn the call over to Francisco D'Souza. Francisco, please go ahead.
Francisco D'Souza: Thank you, David, and good morning, everyone. Thanks for joining us today. I'm happy to report that Cognizant's first quarter performance was strong and ahead of our guidance for the quarter. First quarter revenue was $2.02 billion, a sequential increase of 3.7% and an increase of 18.1% year-over-year. We maintained our non-GAAP operating margin at the high end of our target range. The revenue includes $8.2 million from the C1 Group acquisition, which we closed this quarter. This acquisition involves 6 companies from C1 Group that will expand our capabilities in Germany and Switzerland. Germany is the largest IT market in Europe, and I'm particularly excited about what this acquisition does to enhance our front-end presence in that market with the goal of bringing the strength of our global delivery model to German clients. Before turning the call over to Karen to outline our financial results, Gordon and I would like to cover 3 topics with you today: first, we'll provide a perspective on customer spending and market demand; secondly, we'll provide you some color on our execution against our 3 Horizon strategy; and finally, we'll share information about our continued drive to ensure that we have the team and operating discipline in place to continue to scale the business. I'll provide you with the headlines on these items, and then I'll ask Gordon to provide you with further details. We'll also spend time on the call today to provide you our thoughts on the emerging topic of United States immigration reform, of which you've no doubt heard. Let's start with -- let's first start with customer spending and market demand. While economic uncertainty is leading some companies to be more cautious, we are encouraged that market demand remains healthy. This demand comes across the 2 dimensions of run better and run different. As a reminder, run better is where we help clients manage their current businesses for greater efficiency and effectiveness. And run different involves helping clients improve the positioning of their businesses for the future. We haven't seen a material shift in decision-making or in the demand environment amongst our customers. As we look across our business, while there continue to be pockets of weakness, we're encouraged the majority of our businesses are experiencing positive demand and growth characteristics. Gordon will walk you through the specific areas of strength and weakness in the business in a few minutes. Secondly, let's touch on the 3 Horizon model. You'll recall that we introduced the 3 Horizon model 3 years ago to manage reinvestment in our services portfolio, and I'm pleased to say that this approach has decisively helped us to stay well positioned ahead of the rapidly changing complexion of market demand. We continue to see positive momentum in our Horizon 1 and Horizon 2 businesses. As a reminder, last year, we were pleased to share with you that our Horizon 2 businesses, consulting, business process outsourcing and infrastructure management, represent about 20% of total company revenue. These businesses continue to grow nicely, and I'm pleased with our competitive position in each one. And with our ongoing focus on investment, the Horizon 3 offerings continue to gain traction faster than we had expected because of the strength of market demand and the distinctiveness of our value proposition. As a reminder, Horizon 3 is a class of emerging offerings in 3 areas: new markets, new delivery models and new technologies. This quarter, I'd like to share 2 noteworthy aspects of our Horizon 3 business, one regarding new technologies and one regarding new delivery models. In the area of new technologies, we've often spoken to you about growing client adoption in social, mobile, analytics and cloud, the so-called SMAC technologies. Over the last 18 months, we've built out our capabilities in each of the SMAC areas, both in terms of end-to-end services and also in terms of intellectual property and thought leadership. Our solutions in these areas are a key part of our service to help our clients run different and we have a solid pipeline of SMAC opportunities. This year, we expect to deliver about $500 million in SMAC-related services. While the significant majority of this work will be done with our existing client base, I'm also pleased to see many new clients whose first engagement with Cognizant is in the SMAC area. Our progress in the SMAC area is validated -- is validation of our run different value proposition, our strategy of reinvestment and a testament to the strength and versatility of our client relationships. Another aspect of our Horizon 3 efforts is in the area of new delivery models. A critical goal of new delivery models is to break the linearity between revenue growth and headcount growth, or in other words, to drive nonlinear revenues, and we are doing this with solutions that address the changing dynamics in our clients' industries. To that end, we're in the process of launching our portfolio of Cognizant BusinessCloud solutions, which enable clients to quickly deploy a range of on-demand business and IT solutions without the larger capital outlays and longer implementation time lines that are sometimes associated with traditional on-premise solutions. The portfolio includes offerings that leverage 2 models: software as a service delivery models or SaaS, which centrally hosts software and associated data on the cloud; and business process-as-a-service or BPaaS, which integrates the SaaS platform together with people and process capabilities to deliver an end-to-end business or technology outcome for a client. Our investment in BusinessCloud will address the increasing client demand for business models that deliver outcome with a cost mix that's increasingly variable rather than fixed. Let me offer a few examples of our BusinessCloud solutions that enable this type of business model. Our assetSERV platform helps organizations manage digital content like images, videos and audio and to access them anytime, anywhere across multiple devices. As the quantity of digital content that organizations have to manage explodes, the platform is of particular interest to sales and marketing departments and also to functions like engineering and human resources. assetSERV reduces the cost of managing digital content, improves the time to market and increases the quality of content. We have sold assetSERV to 6 clients and have more in the pipeline. Our Cloud360 solution provides the client organization with a one-stop platform to manage applications across private, public and hybrid clouds. In addition to lowering the total cost of managing applications and improving their performance, Cloud360 makes it easy to rapidly deploy and scale systems up or down based on realtime response to changing business needs. More than 15 customers are using Cloud360. And one of our newest BusinessCloud solutions is a clinical solution that supports the entire clinical trial process for life sciences customers, fundamentally changing the way research and development is performed. The solution reduces cycle time through a process and technology automation so drugs can get to market faster, and improves collaboration across all the participants in the trial process via social and mobile capabilities and virtual global trial teams. It also enhances data visibility through global portals and dashboards and provides proactive analytics to identify and mitigate risks earlier in the drug development life cycle. I'm excited about these solutions and others that are emerging out of the Horizon 3 area. Let me close with a few words on operational excellence. As we scale the business, we continue to look ahead to make sure we have the internal operating strength to deliver well and maintain our track record of deep customer and employee satisfaction. That requires continued focus on operating excellence across our people, process and internal technology systems. To that end, we announced today that Sridhar Thiruvengadam will take the role of Chief Operating Officer of Cognizant. As COO, Sridhar's role will be to ensure that our people functions, our internal systems and technology and our other core infrastructure are solid, cost-efficient, secure and scalable. Sridhar is a Cognizant veteran who's been with the firm since its inception, and I'm confident that he will provide strategic leadership and vision in developing the blueprint to optimize and scale Cognizant's global backbone to meet the future demands of the business. I'd now like to hand the call over to Gordon to discuss the proposed immigration reform legislation and then to give you color on our operating results. Karen will then review our financial results, after which we'll open the floor to Q&A. Gordon?
Gordon J. Coburn: Thank you, Francisco. Before I discuss business performance for the first quarter, I'd like to update you on immigration. We realize that immigration reform and its impact on Cognizant is of great interest to many of you, so let's go through the facts, as well as our thoughts and expectations. On April 17, 8 senators, known as the Gang of Eight, introduced a bill addressing comprehensive immigration reform. The bill included inputs from constituencies with interest in family reunification, illegal immigration, border security and many other dimensions, including high-skill labor. This bill serves as a starting point from which the U.S. Congress will begin to debate the issue. We were and continue to be an active participant in this discussion, including the effort to increase the number of high-skilled visas and streamline the green card process for permanent residency. This last point is quite important to us as we are one of the top applicants for green cards in the nation. This is part of our business model of hiring the best talent globally, many of whom want to make their permanent residence in America. We're also a large user of H&L temporary work visas. We're unable to find all the talent we need domestically each year, and we must source globally. Many of the people we bring to the U.S. on H&L visas we expect to stay here permanently as they get their green cards. We also recruit heavily in the U.S. with over 75 full-time recruiters to identify experienced talent. In addition, we recruit hundreds of students from U.S. universities, but that is not enough to serve our clients. Although the recently introduced bill includes some important fixes to the green card process, there are also some clauses that would be detrimental to Cognizant. These clauses include higher fees on visas, a requirement to pay above-market salaries to visa holders, potential restrictions on access to visas and constraints on the ability to have visa holders serve our clients. On the surface, one would be quite concerned when reading this proposal. However, it's very important to remember that this is the very beginning of the legislative process. As the House takes up the issue over the coming months, we expect that it will come at many of these issues, including the issues of importance to us from a very different perspective. Based on our conversations in Washington, as well as our conversations with our clients, there is a clear understanding that the legislation as written would severely damage the U.S. economy, cost a tremendous number of high-quality jobs and create significant diplomatic and international trade challenges. Clearly, most politicians would not want these unintended consequences. Fortune 1000 companies across many industries rely on global talent to help them run their businesses and help them to innovate. They depend on the world-class minds that we bring to the table, as well as the efficiencies which enable them to invest for the future. We are highly confident that our clients will weigh in on the issue at the appropriate time. It's business as usual for us and our clients. We will continue to work with our legislators to develop a comprehensive immigration reform package that strengthens the American economy. The current legislation does not meet that test, but we believe the final legislation, if any, will achieve that goal. Now let's get back to the business. We're pleased to have delivered another strong quarter of industry-leading growth that was broad-based across our portfolio of services and geographies. We're encouraged by what we see in the market and by our competitive position both for the current year and longer term. I'd like to give you color on 2 areas that Frank just outlined, the demand environment and our services strategy. We're particularly pleased with the demand patterns across our industries and services as our ability to meet clients' dual mandate of run better and run different continues to gain traction. While there are some pockets of weakness, they are clearly outweighed by areas of strength. Within Horizon 1, we continue to help customers drive higher levels of efficiency and productivity and drive reduced total cost of ownership through best-in-class processes and methodologies. Within Horizon 2 offerings, growth of our BPO practice was driven by continued cross-selling of our vertically aligned business process solutions into our existing customer base, as well as winning new logos for Cognizant. Notably, we saw good traction in leveraging our newer centers in Minot, North Dakota and Des Moines, Iowa to support our newer clients across financial services, health care and the technology segment for their BPO requirements. Let me add, more generally, we're quite pleased with our continued progress in expanding our U.S.-based operation centers, which serves as Centers of Excellence across our service offerings. IT infrastructure services had a robust quarter with good wins across multiple industries, specifically financial services, retail and communications. During the quarter, we won a significant deal with a large financial services firm that involves building out a dedicated global operations center supporting a broad range of core infrastructure around systems, networks, databases and storage. The client found our model -- our operating model unique, combining consulting with highly productized and industrialized services that be sourced modularly. The quarter also saw traction around integrated infrastructure and application solutions, a trend that is gaining momentum with every passing quarter. Our ability to provide integrated support across applications and infrastructure is yielding solid results, helping clients to lower their total cost of ownership while raising service levels through a seamlessly integrated team. Finally, Cognizant is increasingly being recognized for the differentiation we bring to clients in the next generation of IT infrastructure services, defined by mobility technologies, virtualization and enterprise application solutions that deploy and manage smartphone and tablet applications. In this context, we're honored that Forrester Research recently named Cognizant as a leader in the North American workplace services outsourcing wave for 2013, and called out our compelling vision for the future of workplace services, top score for client feedback categories and well-articulated strategy. Cognizant Business Consulting, or CBC, also saw a strong quarter, and we're very happy with the way CBC is shaping up and driving mind share amongst CXOs, resulting in stronger market share gains. Across strategy consulting, program management consulting, operations consulting and IT strategy, we saw healthy traction with marquee clients. We believe our deep domain expertise and management consulting strength has not only enabled us to deepen existing client relationships but has also enabled us to win new clients based on the strength of our consulting value proposition. Looking at our performance from an industry perspective. During the quarter, our financial services segment, which includes our banking, capital markets and insurance clients, grew 5% sequentially and 23% year-over-year. The performance was primarily fueled by strong growth in banking, which continues to see an uptick in demand. Demand is driven by ongoing cost optimization among our larger clients, a steady pickup in regulatory projects and the growing importance of mobility and analytics. Health care, which includes primarily payer and pharmaceutical clients, grew 2% sequentially and 9% year-over-year. We saw a pickup in consulting work as our payer clients continue to deal with the implementation of the Affordable Care Act and in particular, the upcoming go-live date of health care insurance exchanges. As expected, work for our pharmaceutical clients continued -- work for our pharmaceutical clients remained constrained as that industry continues go through disruption due to the impact of patent cliffs. We expect spending in this segment will remain conservative as customers take a cautious approach with respect to their IT-related investments. However, there is increased interest in leveraging the SMAC stack to run their businesses differently. Our retail manufacturing segment continues to show steady performance, growing 4% sequentially and 27% year-over-year. The potential for growth in this segment remains strong and our pipeline is robust. Demand in the retail segment remains healthy, with a growing need to focus on omni-channel commerce to address structural shifts in consumer buying behavior. Our other business segment also performed as expected during the quarter. Moving on to our performance by geography. Growth in North America played out as anticipated. Europe grew by almost 7% sequentially and 23% year-over-year. As Frank mentioned, we completed the acquisition of 6 companies of the C1 Group during the second half of the quarter. Excluding revenues from the C1 Group, we grew 4% sequentially in Europe, further evidence that the trend of European clients adopting long-term outsourcing programs continues to gain traction. Our growth in the rest of the world continued to remain strong, growing 4.8% sequentially and 35% year-over-year. We're especially pleased with our performance in Asia Pacific where we're seeing solid traction across the region, particularly in financial services, retail and manufacturing, and life sciences. I'll now hand the call over to Karen to comment on our financial performance and guidance.
Karen McLoughlin: Thank you, Gordon, and good morning to everyone. As detailed in our press release, our first quarter revenue grew 3.7% sequentially and 18.1% over last year to $2.02 billion, ahead of our guidance of $2 billion from last quarter. Our non-GAAP operating margin, which excludes stock-based compensation expense and acquisition-related expenses, was 19.9%, at the high end of our target range of 19% to 20%, while our GAAP operating margin was 18.1% for the quarter. Consulting and technology services, formerly known as application development, represented 49.7% of revenue; and outsourcing services, formerly known as application management, was 50.3% for the quarter. Consulting and technology services grew 14.2% year-over-year and 2.2% sequentially. Outsourcing services grew 22.1% year-over-year and 5.3% sequentially. 32.9% of our revenue came from fixed-price contracts during the first quarter and grew by 24% year-over-year, reflecting further acceptance of the output-based managed services model of engagement by our clients. As expected, on a sequential basis, our pricing was stable during the first quarter. We closed the quarter with 1,000 active customers, and the number of accounts which we consider to be strategic increased by 7. This brings our total number of strategic clients to 221. We continue to see a trend towards our newer strategic customers embracing a wider range of Cognizant services at an earlier stage in the relationship. Our fully diluted share count for the quarter was 305.2 million shares, an increase of approximately 1.4 million shares from Q4. During the first quarter, we repurchased approximately 216,000 shares at an average price of $75.88 for a total cost of approximately $16.4 million. Since the end of the quarter, we have repurchased an additional 915,300 shares at an average price of $62.80 for a total cost of approximately $57.5 million. Today, the company announced that the Board of Directors has authorized an expansion of our existing stock repurchase program by $500 million, bringing the total authorization under the current repurchase program to $1.5 billion. To date, 14.8 million shares at a cost of $940.5 million, have been repurchased under this program. Turning to the balance sheet. Our balance sheet remains very healthy. We finished the quarter with approximately $2.7 billion of cash and short-term investments, down by approximately $119 million from December 31. The slight reduction in our cash balance was primarily due to the acquisition of the C1 Group, as well as employee bonus payouts in March. During the first quarter, operating activities generated approximately $73.5 million of cash. Financing activities generated approximately $16.9 million of cash. This was comprised of net proceeds of $33.3 million related to option exercises and related tax benefits, as well as our employee stock purchase program. This was partially offset by expenditures of $16.4 million towards our share repurchase program. We spent approximately $72.2 million for capital expenditures during the quarter. During 2013, we continue to expect our capital expenditures to total approximately $400 million. In addition, during the quarter we had cash outflow of $139 million, net of cash acquired, related to the C1 acquisition. Based on our $1.7 billion receivable balance on March 31, we finished the quarter with a DSO, including unbilled receivables, of 76 days, up 4 days from the fourth quarter but essentially flat with the first quarter of last year. The unbilled portion of our receivables balance was approximately $206 million, up from $183 million at the end of Q4. Approximately 62% of the Q1 unbilled balance was billed in April. Net headcount increased by approximately 6,000 people during the quarter, including approximately 450 employees of the C1 Group. 29% of gross additions for the quarter were direct college hires while 71% were lateral hires of experienced professionals. We ended the quarter with approximately 162,700 employees globally, of which approximately 151,600 were service delivery staff. Attrition in the first quarter was 12.3%, higher than the Q4 attrition of 10% and Q1 2012 attrition of 10.6%. As we have discussed in the past, there is no consistent methodology in the industry to report attrition. We have historically reported attrition by annualizing the turnover which occurred within the quarter, including both voluntary and involuntary. Our attrition statistics include all departures, including BPO and employees in our training program. Utilization decreased slightly on a sequential basis during Q1. Offshore utilization was approximately 67%. Offshore utilization excluding recent college graduates who are in our training program was approximately 71%, and on-site utilization was down slightly to 92% during the quarter. I would now like to comment on our growth expectations for the second quarter of 2013, as well as the full year. For the second quarter of 2013, we are projecting revenue of at least $2.13 billion. For the full year 2013, we expect to continue to deliver industry-leading revenue growth. Based on current conditions and client indications, we reaffirm our revenue guidance of at least $8.6 billion. This represents full year growth of at least 17%. As we previously discussed in February, our revenue guidance includes $90 million of expected revenue from the recently closed MediCall and C1 Group acquisitions but excludes the impact of any further acquisitions that may be closed during the course of the year. During Q2 and for the full year 2013, we expect to operate within our target non-GAAP operating margin range of 19% to 20%. Therefore, we are currently comfortable with our ability to deliver in Q2 non-GAAP EPS of $1.06, which translates to GAAP EPS of $0.97. This guidance anticipates a Q2 share count of approximately 305 million shares and a tax rate of approximately 25.5%. Our guidance excludes any nonoperating FX gains or losses. For the full year 2013, we expect our non-GAAP EPS to be at least $4.31, excluding estimated stock-based compensation expense of $0.30 and acquisition-related expenses of $0.06, and our GAAP EPS will be at least $3.95. This guidance anticipates a full year share count of approximately 305 million shares and a tax rate of approximately 25.3%. It also excludes any nonoperating FX gains or losses. Now we would like to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question is from the line of Darrin Peller of Barclays.
Darrin D. Peller - Barclays Capital, Research Division: We noticed this morning a number of amendments that have been introduced, including some by Senator Hatch, trying to really address outplacement. On that topic, you also mentioned your trends on U.S. workforce and other green card capabilities. I think what we're looking to hear is really what your clients are thinking about this topic. I mean, have you seen any feedback from some of your customers in the sense of potentially looking to lobby Congress on the efforts? Could really you discuss how low unemployment is in technology and the potential implications of this provision?
Gordon J. Coburn: Sure, Darrin. The clients have made it very clear to us, they are happy to weigh in. The discussion is when should they weigh in. It's very important to remember this is going to be a long process. The Senate is going to make some amendments, their bill will come out and probably get passed next month. And then, the House is going to discuss it over a matter of many, many months, and obviously, the bill that comes out of the House, if any, will look dramatically different. So clients and the lobbyists for our clients, many of them think the right time to weigh in is much later in the process, not at this point. It's interesting. Senator Rubio, who's one of the Gang of Eight, this past weekend said publicly on one of the talk shows that the Senate bill as written, and I quote, "cannot pass the U.S. House of Representatives." That's the person who wrote the bill who said that. So there's going to be a lot of discussion, not just in amendments to the Senate bill that will go up for vote next month, but much more importantly, with what happens with that House bill, which will probably look fundamentally and dramatically different. So the answer is clearly, our clients are saying, "We will weigh in." But they are thinking very strategically about when is the appropriate time to weigh in.
Operator: Our next question is from the line of Steven Milunovich with UBS.
Peter Christiansen - UBS Investment Bank, Research Division: This is Peter Christiansen in for Steve Milunovich. I just want to dig a little bit more into the immigration reform issue and talk about what you're speaking -- what you're talking to your strategic accounts and what is your message to them. And also, in planning for contingencies, would -- in terms of the outplacement conditions, would the use of local subcontractors or even badge trading would those methods be feasible and how would it affect your business model?
Gordon J. Coburn: It's interesting. It's not so much what are we messaging to our clients, it's what are our clients messaging to us. They are reaffirming that we are essential to them running their businesses and being competitive in the environment. So our clients' messaging to us is, "Cognizant, we need you. And we're going to help make sure you're around so you can continue to serve us both so we can be competitive in the global marketplace and so we can continue to innovate." And obviously, we're messaging a similar thing to clients, and I think both clients and us understand, once again, that the bill as written will not look like the bill that is ultimately passed by Congress, if anything is passed by Congress, because the bill as written would do dramatic harm to the U.S. economy. When we think about contingencies, remember there are so many permutations of what this bill would look like. If you look at the bill right now, it contradicts itself in places, so we obviously have various contingencies that we can leverage. There's no one silver bullet by any stretch of the imagination. But the fundamental issue that Congress is going to have to deal with this, is there are not enough U.S. tech workers. Unemployment, according to the government statistics, for tech work is less than 4%. Based on what I've learned at business school, that is full employment. So it's not as simple as you can say, "Okay, Indian firms and U.S. firms that leverage global workforce can no longer do this work." The problem is there are not enough replacements, the U.S. economy will shut down. So I think when you think about contingencies, you have to think about contingencies that are realistic, and we're obviously -- we work through various scenarios. But there's so many permutations right now, to start talking about specific contingencies, I think, would be counterproductive.
Operator: Our next question is from the line of Edward Caso of Wells Fargo.
Edward S. Caso - Wells Fargo Securities, LLC, Research Division: Are you receiving any pushback from clients on decision-making as they sort of watch this whole visa situation sort of progress here? Are you seeing any of that? And then the second question I had is are -- if the worst or semi-worst case happens, would acquisitions potentially be part of your response?
Gordon J. Coburn: Sure. So obviously, we gave fairly healthy guidance just now for Q2. If we were seeing pushback from clients, we would not have taken such a bullish tone. We are not seeing any pushback. We are seeing decisions being made. The demand environment is quite healthy. People want our services. People need our services. I think the biggest change in the market is it's not just for cost efficiencies they need us, they're now looking to us very aggressively to help them to innovate and run their businesses differently. In terms of contingencies and would acquisitions play a role in it, would it not, that all depends on what a final bill would look like, if there is a final bill. So obviously, we think about a broad range of contingencies. But I wouldn't want to speculate on any specific contingency because, quite honestly, this -- the bill is going to morph, and right now, even in the bill as written, there's a lot of things that aren't clear.
Operator: Our next question comes from the line of Tien-Tsin Huang of JP Morgan Chase.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Looks like the over -- it's a safe bet on the immigration question, there's a number of questions you'll get there. I'll ask about -- actually I'll just ask about capital allocation. Happy to see the buyback. I'm curious, did you guys consider a dividend? And are you a buyer of the stock at these levels, even with the uncertainty with the immigration reform? It looks like you bought some stock back, but I'm not sure if you were held back with anything pre-earnings?
Gordon J. Coburn: Sure. So let me start with what we bought back. Obviously, we were in the quiet period, but we had a 10b5-1 program in place the triggered as the stock declined, so that's why you saw repurchases this quarter even though we are in the blackout period. We spent a lot of time thinking about capital allocation. Long term, I think it's important that we articulate a fully comprehensive capital allocation strategy. We're not quite ready to do that yet because the market is changing so quickly and the opportunities for us and things like Horizon 3 are so tremendous right now. We don't want to box ourselves in until we fully understand that roadmap. We have been opportunistic on share repurchases. Obviously, by increasing the repurchase authorization today, we signaled we'll continue to be opportunistic on share repurchases. At this point, we weren't -- there was not active discussion about a dividend. When we think longer term about capital allocation, obviously, any Board of Directors would include all types of components of that. But that's not something that's a near-term item.
Operator: Our next question comes from the line of Keith Bachman of BMO.
Keith F. Bachman - BMO Capital Markets U.S.: If I could, just a clarification. Is there any sense you can give us on where you stand relative to the various thresholds or caps, the 75%, 50% kind of thresholds, if you took out the green cards? Just a snapshot of where you are today of your U.S. employee base versus the visa holders. And then secondly, if you could just talk a little bit about the consulting business. I believe you said it grew 2.2% sequentially. I just wanted to see if there's any color -- so it's a little slower than the corporate weighted average sequential growth. If you could just talk about was there any issues there. Or is that just kind of the broader macro slowdown and all consulting getting hurt? But more broadly just talk about the growth of the consulting business if you talk -- if you look at calendar year '13.
Gordon J. Coburn: Sure, let me touch base on your demographic question, and then Frank will comment on consulting. I understand why people want all these statistics, obviously to model all the potential scenarios that could happen, and there are so many potential scenarios. But as we've said in the past and we're going to continue to say this, for competitive reasons, the information on the demographics of our workforce we've never released, we do not intend to release going forward. In the end, we know investors want us to drive industry-leading growth, and that's what we're focused on. And I'd be reluctant to divulge the demographic statistics because I think that would disadvantage us as we compete in the marketplace, as we navigate these issues. So I appreciate why you asked the question, but we think it's in the best interest of the company, for competitive reasons, not to make that public. Frank, let me -- why don't you comment consulting?
Francisco D'Souza: The consulting and technology group, as we talked about it, includes both our pure play management consulting business and also our application development business. And you can think of that as somewhat of a proxy for discretionary spending, or it's a lot of discretionary spending in there. And that's playing out and played out in the first quarter just as we expected seasonally. Typically, in the first quarter, there's a little bit of softness in that business as budgets tend to get finalized in Q1. And we see the incremental discretionary spending kicking in towards the end of Q1 and then really into Q2. We've seen that same trend in past years. In the last couple of years, that trend hasn't quite held because of the sort of volatility in the marketplace. But generally speaking, in normal years, you see that in Q1. So I don't think there's anything to read into that. I think it's just normal seasonality of Q1 where discretionary spending tends to be a little softer than the rest of the year as budgets get finalized.
Operator: Our next question is from the line of Bryan Keane of Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: Just hoping you could give us a sense of the potential client disruption that it cause, some of the things in this bill. I think one of the things you said is it would damage the U.S. economy. So I guess I just wanted to know how easy would it be for clients to switch to other employees, either be multinationals or some other group, because I think the relationships are a lot stickier than people think. And then secondly, you guys kind of highlighted the green card issue. We're hearing that workers applying for a green card would be excluded from some of the H-1B visa count, so just wanted to get if you're hearing the same thing and kind of why you emphasized the green cards.
Gordon J. Coburn: Sure. So Bryan, I think you've hit a critical point. The work we do is extraordinarily sticky. We are deeply embedded into our clients. We are doing mission-critical work for our clients, both on ongoing maintenance and support, but equally importantly, on innovation work. And it's not like our clients could go out and hire these people. These people don't exist. That's the important thing here. There is a shortage of IT talent, based on virtually every study that you see, so the stickiness of our client base is absolutely tremendous. Bryan, what's the second part of your question again?
Bryan Keane - Deutsche Bank AG, Research Division: Just on the green cards. I know you guys emphasized it, and then we're hearing that even -- potentially, that some of the guys even applying for green cards would be excluded from some of the counts on H-1B visa people?
Gordon J. Coburn: Yes. So the answer is if you look at the currently proposed Senate bill, some of those are excluded from the H-1B calculation. There's some amendments floating around that clarify some of that. But once again, I want to remind you that there's lots of permutations, there's lots of language that still has to be cleaned up in the Senate bill. But I think we should also have realistic expectations. The Senate bill that eventually gets passed next month will have clauses that are significantly detrimental to our industry. So when people see that, I don't think they should be surprised. That's certainly our expectation. That's very, very different than what would ultimately become law because the House hasn't even begun to debate this. And there's lots of different constituencies in the house that fundamentally don't agree with what's in the Senate bill. So it's -- the real action will happen after the Senate bill is passed, which will have some stuff we expect that would be negative for our industry. And then that as the House deals with this in the fall, you'll start to see something that we believe, or hope, will be palatable to our industry. And not just to our industry but much more important, palatable to our clients because it's going to be the clients that are going to weigh in and say, "If you had everything that's in the Senate bill today, you would be doing irreparable harm to the banking industry, to the insurance industry, to the health care industry and many others." And I don't think senators and congressmen want to hurt the core American industry.
Operator: Our next question comes from the line of Joseph Foresi with Janney Montgomery Scott.
Joseph D. Foresi - Janney Montgomery Scott LLC, Research Division: I'm actually going to change the topic here at the risk of losing a visa question. But on the financial services front, I think you talked about a large deal you signed. Can you give us some color around what the sizes of the deals are there? And then you're off to a good start in the beginning of the year. Maybe you can give a little color around your view of annual guidance. Are you leaning towards a conservative because of the macro side of things? So first question is on financial services. What are you seeing on the large deal front? When did you sign it? Are you seeing more of those? And then the second one just on the guidance side.
Francisco D'Souza: Yes, let me take that. We're -- I was very pleased with our performance in financial services in the quarter. We grew 5% sequentially. And if you look at what's happening there, banking continues to do well. That growth is coming from both our largest clients who are expanding their work with us. But as you said, in prior quarters, we're also starting to see a pickup with mid-tier banks, particularly in the U.S., that are beginning now to more aggressively adopt the global delivery model. We're seeing demand both, as Gordon said, on what we think of as run better and on the run different side, so there's a continued focus on cost consolidation and push for productivity benefits. We see regulatory work starting to pick up. But some of that spend is coming at the expense of dollars that might otherwise go to discretionary development spending. And we're also starting to see growing importance of financial services as a result of mobility and analytics, as our financial services clients start to look at the digital bank kind of topic. When we look at guidance for the full year, we're pleased with how the year is playing out. We think that as we look to Q2 and the rest of the year, demand patterns are playing out as we expected and that gives us confidence that we're certainly on track to meet the full year guidance that we provided you. I think that it's fair to say that, assuming that the current demand trend continues to play out, we think there's some scope for outperformance in the full year. And obviously, we'll update you on that as we progress through the year.
Gordon J. Coburn: Yes, and let me just add to our thinking and philosophy on guidance this year. We realized, given all the macro events both in the economy and the political world that's going on, people are -- would like to understand that our numbers have certainty to it. So we decided to take a conservative stance on our guidance, leave ourselves some room to absorb some macro hiccups, if they were to occur. But as Frank mentioned, I think it's important to understand, if things continue to play out the way they currently are -- we had a nice momentum coming out of Q1 into Q2, and that's one of the key things that we look for each year. And that played out the way we like to see this year. So if that continues to play out and we don't have macro hiccups, certainly, we think there is room for outperformance this year. But we want to be careful not to get ahead of ourselves.
Operator: Our next question is from the line of Arvind Ramnani with BNP Paribas.
Arvind A. Ramnani - BNP Paribas, Research Division: Most of my questions have already been asked, but just had a question on the buyback. I realize that's a bit of a subjective process, but what is the process of determining the level of the buybacks? Do you have a particular formula that you use to determine the range of the buybacks?
Gordon J. Coburn: You're right, it is more of an art than a science. Historically, where we've used 10b5-1 programs, it's been triggered by various -- not necessarily one, but various stock price thresholds. And if you look, last year, as we've executed on our share repurchase, we were more aggressive when the stock price was weaker rather than when it was stronger. So it is a little bit of an art versus a science, so there is no specific formula. The nice thing is, at the current levels, it certainly is accretive to our earnings in future years.
Operator: Our next question is from the line of Rod Bourgeois with Bernstein.
Rod Bourgeois - Sanford C. Bernstein & Co., LLC., Research Division: So unfortunately, I need to take you back to the visa reform topic. So guys, if the Senate's proposed reforms go through as is, major clients of Indian firms, including JPMorgan, Bank of America, Walmart and GE, these clients could face some operational disruption and a lessened access to needed talent. On the other hand, if the visa reforms would primarily affect new visa holders, the client disruption would not necessarily be immediate for these clients, and these clients have many other things to lobby for in congress. So with that as a context, I have 2 questions. Are clients really aware of the risks that come out of these visa reforms yet? I mean, the checks that we've done, I mean, we've noticed clients that are still sort of figuring out what's going on, and they've yet to really react. And then the second question is are you able to ask your clients to lobby on your behalf in Congress when doing so could actually raise a concern about potential risks down the road of working with Cognizant and other Indian firms? So are the clients aware? And can you really solicit their help kind of in this troubled situation?
Gordon J. Coburn: Sure. So Rod, our clients are extraordinarily sophisticated, and we work for the largest companies in every industry you can name. So they -- so I'm not concerned about us having the conversation with them that the bill as written would be detrimental to us and to them. They're sophisticated enough, they already know that, so there's nothing to hide here. Clients are different -- depending on the client, there are different levels of understanding what the bill is today. But as clients are understanding the bill, the clear conversations we're having with them, or they're having with us proactively, is that they understand that this bill would be detrimental to their business. And therefore, they're interested in -- so the discussion is around what is the appropriate strategy to communicate that to the Senate and House. Not "Hey, don't do this because it's -- because we like Cognizant." But "Don't this because it will hurt our bank or it'll hurt our insurance company." That's the message they're going to deliver, and that's the message they believe in. The key question is the timing. It's not clear that the appropriate timing for them to deliver that message is now because the Senate bill is going to pass, the Senate bill is going to have some ugly stuff on it and that's fine. The key is as the House picks it up and then it goes into conference late this year, early next year, I think that's when you'll see clients weigh in, in a significant way. But will clients understand it? Absolutely. Our clients have very sophisticated lobbying organizations. But they're going to lobby not based on, "Please be nice to Cognizant." They're going to lobby on they need these people to remain competitive in the global environment. And if this bill passed as is, it would hurt every bank in the country, it would hurt every insurance company in the country, it would hurt every drug company in the country, and I don't think anyone in the Senate or House wants that to happen.
Operator: Our next question is from the line of Moshe Katri of Cowen and Company.
Moshe Katri - Cowen and Company, LLC, Research Division: Can you spend some time maybe talk a bit about the Healthcare vertical? Are we still expecting to get maybe a better view on where we are, maybe following the June quarter, in terms of demand and fundamentals and kind of the outlook for the industry and maybe we're going to see some better demand coming through?
Gordon J. Coburn: Yes, so if you think about it, Healthcare, let's break into payers versus pharma. Pharma is going to be tough this year. That's baked into our plans. This is a year that's very challenging for pharma because of patent cliffs. The good news with pharma, when they look out to 2014 and 2015, things look okay. When we're talking to CIOs of pharmaceutical companies, in the last couple of months I've sat down with a fair number of them, they said, "We got to get through '13, but then spending can increase again." So I think we appropriately reflected it in our plans, but pharma will be tough this year. Payers is a little bit more of the wildcard because of everything that is happening with health care exchanges and the Affordable Care Act. So payers is one those ones that could be one thing that could generate some upside opportunity for us. I think we've appropriately risk-adjusted it. But overall Healthcare is not going to be a big driver of growth this year, and we didn't expect it to, but it's playing out as expected or a little bit better than expected at this point.
Operator: Our next question is from the line of Sara Gubins of Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: Just following up on that. You mentioned in your prepared remarks that you are seeing some pockets of weakness. Did that refer to pharma or were there other areas that you were talking about? And then, separately in this SMAC stack work, for clients that are new -- I know that, that's not the majority, but for new clients, what industries do they fall in? Is that any different from your overall mix?
Gordon J. Coburn: Sure, let me quickly touch on the first thing, and then maybe, Frank, you can touch on the second. When I referred to pockets of weakness, primarily, I was referring to life sciences, that's correct. Yes, there are small things here and there, but that's the main driver of that comment. Frank, you want to talk about SMAC?
Francisco D'Souza: Yes, on the SMAC work, most of the work -- or let me say a lot of the work that we're doing in SMAC isn't discrete standalone work. It tends to be work that interfaces or plugs into our clients' bigger IT environment or into their legacy environment. And so by and large, the majority of the SMAC work that we're doing would be in industries that we know, and with our existing client base because we are building on top of an existing infrastructure that we're managing or that we are very familiar with, so largely follow the industry lines that we're operating in today.
Operator: Our next question is coming from the line of Jason Kupferberg with Jefferies.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Just a 2-part question here. First, can you give us some estimate of what percent of senior management's time is being spent related to the immigration bill, whether it be garnering political support or doing contingency planning? Do you expect that percentage to increase? And then just a secondary question on gross margins. I know you guys focus more on the operating line, but they were down to what I think may have been the lowest level ever and wanted to see if there's anything semi-structural going on there. Or were there any transient factors in the quarter?
Francisco D'Souza: Let me address the first question, Jason, and then, I'll ask Karen to talk about the gross margin. Look, we're keeping an eye on what's happening in Washington. As the senior leadership team, obviously, we're extraordinarily focused on it. But at the same time, we're making sure that it is not a distraction for the team. I've told the team that the most important thing for us to do here is to continue to run a good business. To focus on adding value to our clients, to continue to deliver the good results. And we've got a team of folks in Washington, Cognizant employees and advisers, that are helping us on the immigration front. I don't have a particular percent of time that I can point to specifically that we're spending. I think we're spending a little bit more time than we have in the past, obviously. But I still really don't think it's a distraction to the business at this point. Karen, do you want to talk about gross margin?
Karen McLoughlin: Absolutely. So Jason, as you mentioned, obviously, gross margin did tick down about 30 basis points from last quarter, and there's really a couple of things. So we talked on the call about pricing being stable, and pricing absolutely was. We did not see any deterioration in pricing for the quarter. What you did see was utilization ticked down a little bit, and some of that is obviously timing of when we onboard folks. We onboarded several -- quite a few lateral hires in Q1, and it will take a little bit of time for them to ramp up and start billing. So utilization bounces up and down a little bit depending on start dates and so forth. So it's primarily utilization-driven. If you remember, back in middle of Q3 last year, we also started our ING transaction, which took our on-site ratio up slightly from where it's been running so -- versus last year on-site ratio. They're slightly higher than where they typically have been so that's also a little bit of the decline. But it's primarily utilization decline. And that, obviously, we can manage. We've managed utilization up and down over the past.
Operator: The last question will be coming from the line of Julio Quinteros of Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: One quick distinction on the tax rates on GAAP versus non-GAAP. Karen, can you just give us the difference, if there is any, in terms of the EPS calculations that you're citing for the full year?
Karen McLoughlin: There was no material difference in the tax rate for GAAP versus non-GAAP.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: There shouldn't be? Okay, got it. And then on the growth rates of the different Horizons, can you talk a little bit about the expectations for growth for Horizon 1 versus Horizon 3 as we think about the guidance implied for 2013?
Gordon J. Coburn: Sure, Julio, it's Gordon. I think the way you should think about it and part of it is because of where they are in their life cycle and part of it is due to large numbers versus small numbers. Horizon 3 should grow faster than Horizon 2 and Horizon 2 should grow faster than Horizon 1, and that's the whole philosophy of these Horizons.
Operator: I will now turn the floor back to management for closing comments.
Francisco D'Souza: Thank you very much, and thanks, all of you, for joining us today. In summary, we're pleased with our performance in Q1, and we are confident that the -- with our outlook for 2013. In a challenging economic environment, we're encouraged that our value proposition of helping clients run better and run different is gaining traction and supporting a healthy demand for our services. So thank you for joining us, and we'll talk to you again next quarter.
Operator: This concludes today's Cognizant Technology Solutions First Quarter 2013 Earnings call. You may now disconnect.